Steve Hatch: Thank you very much, everybody, for joining us this morning, and thanks as ever to our panelists and how on every minute of every day around the world, they're sharing their opinions to help us fulfil our mission and to help us create great value for the businesses that we work with. This morning, we published our results for the 12 months to the 31st of July 2024. I'll give a quick recap in a second, and obviously, we'll go into more depth over the next half hour and then be open to questions. And FY '24 itself; it's been a year of transition, it's been a year of challenge and it's been a year of change, for the industry and with us here at YouGov with the businesses experiencing a number of successes and a number of challenges throughout the year. Now today, we report revenue and operating profit slightly ahead of our revised guidance. Across the year, we made significant strategic progress, including the acquisition -- conclusion of the acquisition of CPS and KnowledgeHound, enabling us to bring new technologies and new offerings to clients as well as just, I think, technically for a brief time in FY '24, '25, bringing Yabble into the organization as well, together with a number of senior hirings to help us be even more competitive in the year ahead than the year before. The execution of our cost optimization plan is on track, and we're confident we've got the right plans in place. We're focused on long-term the growth and our SP3 delivery. Overall, we expect YouGov to return and achieve growth in FY '25, in line with the current market expectations and a margin more aligned to those that YouGov has historically delivered. And we remain confident we're going to deliver on the long-term ambitions for the company. A quick click on the disclaimer, please. Great. I hope everybody has that, and then onto slides. So today, we're going to split this into 2 halves. Alex, our CFO, who I'm joined with, together with Hannah, our Head of Investor Relations. Alex is going to take you through the front half, the kind of full financial update. And then in the second half, I'm going to go deeper into our product plans and our growth plan throughout the year, unpacking in detail how we're thinking about and how we're going to deliver even more value for clients, to be even more competitive in the year across our Data Products, CPS and our Research division. And with that, I'll hand over to Alex.
Alex McIntosh: Thank you, Steve, and good morning, everybody. Just before I get started, just a quick note to say you'll note our numbers are unaudited as our auditor has requested a bit more time to get through their files. Now, we don't anticipate anything material changing in those numbers. And so, we took the decision to come out with unaudited numbers, and we'll be releasing audited numbers in the near-term. As Steve mentioned, the 2 acquisitions, the acquisition of CPS clearly has been the biggest contributor in the year. But there's been a number of other operational highlights for the year. We've mentioned that we were increasing our commercial rigor. We've made some commercial and product leader investments to help accelerate our growth, addressing some of the challenges we've seen in Data Products. I'm really pleased to have completed 3 really important acquisitions in the year. We spent quite a bit of time in the year looking at panel quality. Those of you who are familiar with the industry, will note that some of our competitors have had significant issues with fraud and not really affecting client data. We pride ourselves and continue to sort of position ourselves as a very high-quality premium end of the market and we're really pleased to be maintaining that position with the work we've done in the year. And as Steve mentioned, we updated on our performance at the back end of July, we announced a cost optimization plan to remedy some of the slowdown in sales momentum that we had at the back end of the year. The results of all that is we're reporting revenue of GBP 335.3 million for the year. Adjusted operating profit is GBP 49.6 million and EPS is 29.4p. We've had varied performance across the divisions. You'll note with the acquisition of CPS, we've adjusted our segmental analysis to include CPS as a stand-alone division within our segmental notes. On an underlying basis, we continue to see relatively flat performance in our Data Products. We see really good renewal rates from our existing clients. It really has been a challenge around winning new clients, new logos, so to speak, and we'll speak later on in terms of what we're doing to address that. One important point to pick out here is, we've seen some good growth in our Custom team. So, our Research performance of 5% growth is 2 services that we offer clients; Custom Research, which includes a lot of long-term tracking studies that we do for clients as well as fast turnaround work. We've mentioned this before in the past, the industry is seeing a structural challenge with that fast move, fast turnaround work, but we're really winning and taking share from larger competitors and winning an increasing amount of tracking work from our clients. That's been a strategic initiative for us for a couple of years now, and we'll go into -- we'll unpack that in a little bit more detail as we go through this presentation. In our absolute numbers, you'll see the EU is now our largest territory. That's as a consequence of doing the CPS acquisition. The numbers you can see on, next to the columns, those are the underlying growth rates. We're incredibly pleased with achieving an 8% growth rate in the U.S. This is well ahead of some of our competitors. So the U.S. market has been particularly challenging for them. And what that speaks to is where we have client relationships where we can really show them the benefit of all the different YouGov tools that complements each other, and we embed that within their research program, we can win with those larger clients. Within the rest of the Group, a bit of a challenge in EU. We've had some leadership challenges through the year, which we highlighted, and we've taken some actions to remedy that and return them to growth. The U.K. has performed well at 3% on the back of a difficult sort of backdrop within the market. We've had some specific challenges in Asia Pac, where we've had a slowdown in government spend with one of our clients. But just to reiterate the point, America has continued to be our #1 priority market, and we continue to make good progress there. We remain very well diversified across a number of sectors. The stacked columns are YouGov's excluding the CPS acquisition. The sort of clear standouts from this is we continue to see our technology clients expanding their spend. That really speaks to clients that value high-quality data that can be embedded into their workflow that continue to use us more. And we've also made some great progress with our agency clients, in particular, expanding our Data Products, their Data Products usage, either extending into new markets or getting agencies to take more data as a complement to their data subscriptions. And when we pro forma this and next year, we'll have a full year of CPS, we'll see FMCG being our biggest sector, and that's in part the types of clients that CPS sells into, and when we get to -- we'll also sort of pick up on that later. Really pleased with how the CPS acquisition has gone, really supportive clients as they've gone through the carve-out from GfK, and we continue to see clients on the CPS side renew very strongly. We maintain a robust balance sheet. Our leverage ratio of 1.7 is in line with our expectations. In the year, we took a EUR 280 million facility to fund the acquisition of the CPS transaction. As a reminder, we needed to move very quickly on the acquisition with no conditionality on the offer, and the best way for us to do that was to fund that primarily through debt. Our anticipation is, we will continue delevering in -- over the medium term as we pay down that note -- that loan, sorry tripping over my words. And we've already made the first principal payment on that and we'll continue to delever about 0.5 turn each -- every 6 months. In line with having debt, we've pro forma-ed our cash conversion, which is stable on the prior year. We've clearly had to pay out some non-recurring costs to do the acquisition and so we've seen our cash conversion remain relatively stable at 94% going to 93%. In terms of our CapEx, you'll see that has increased within the Panel recruitment. That's including the CPS transaction. The CPS team recruits panel in a similar way that we do and not at the same volumes for the type of panel collection -- panel data collection work they're doing, but nonetheless, it is a similar treatment to us. We have spent a little bit less on technology in terms of capital expenditure. That doesn't mean we're spending less overall on technology. We've been spending more time with some of the teams on maintenance activities, which don't classify as R&D or product development. We anticipate maintaining the overall CapEx spend in line with revenue going into next year. And it's important that we continue investing in new initiatives to set us up for increasing our growth rates into FY '25, '26 and beyond. Just an update on our cost reduction plan. We announced that in July we announced an annualized cost saving plan of GBP 20 million and that plan covered a number of areas that included rightsizing teams, optimizing our panel spend and reducing third-party panel -- sorry, reducing third-party supplier costs. We expect 70% of that to be realized in FY '25. You'll see in our accounts that we have a provision of GBP 3 million to cover the cost of that reorganization and restructuring. The other part of that is making sure that we're investing in FY '25 and ensuring that we're increasing and I think getting our sales back up into positive growth, and momentum, particularly in our Data Products. You've heard us talk about some of the initiatives we have in enhancing the user interfaces and user experience for Data Products. That's well underway. With the acquisition of Yabble, that expands the work that we're doing in AI and machine learning, and we'll have some announcements through the next financial year on how we're doing there. But clearly, we also want to make sure that we're bolstering our teams in the priority markets, that particularly includes the U.S. So, just to recap some of the words Steve had at the beginning of this session. We do expect to meet our FY '25 expectations. Trading is in line with the first quarter compared to the last quarters of the previous financial year. That reflects our slowdown in sales momentum. The Group has gone through the reorganization work and We've had to run consultations in a couple of markets. Those are all coming to a conclusion. And so we look forward to the rest of FY '25 executing on our plan. And I'm very pleased with the way the CPS integration is going. It's in line with expectations. The important point here is, we're still operating under some TSAs, some transfer service agreements with the seller, and so, we're looking at rolling off the majority of those by the time we get to the end of FY '25 and then really moving forward with the integration proper with the organization. We are expecting to see our sales momentum pick up in Q2 and beyond and seeing our performance tick up in the second half of the financial year, and particularly driven by our custom teams expanding on the type of work that we've been highlighting has been growth for us. We continue to have a strong discipline around capital allocation. I make this point again, it's very important we've investing for growth. We see a number of opportunities, particularly in expanding the panel quality proposition, but obviously, augmenting that with improved Data Products, improved client servicing. And so we continue to execute on our plan, which is a highly cash-generative business that allows us to continue delevering the debt that we've taken and continuing to invest in future opportunities. As I mentioned, we'll be keeping CapEx in line as a percentage of revenue on the prior year, and it's -- and we will continue to retain strong cash balances so that we, as I said, can invest in the Group.
Steve Hatch: Thanks, Alex. So, I'm going to start this business update by laying out where we see the competitive landscape. That's something that we've heard consistently back, which is to help understand where does YouGov sit within what is a very fragmented and a continuously growing landscape. And then I'm going to take you through how we're thinking about the 3 pillars of our growth across the next 12 months. So, in our Data Products, in CPS and then into our Research division. The -- I'm not surprised to some extent we get asked kind of questions around the competitive landscape, what does it look like? Because it's ever expanding and ever changing. For those of you like me that like a Lunascape, it wasn't that long ago where you could have probably fitted everything onto a kind of decent size of A4. These days, a kind of A1 or even a kind of kitchen table probably wouldn't be adequate enough because it's a market that does generate a high level of interest because of the size and the scale that it operates in. Now, overall, the total insights market is in the region of $140 billion. For our perspective, the total addressable part of that because some of that is within customer experience and the aspects that we don't operate in, is around call it $54 billion. We're currently at a 0.7% share. Obviously, for some of our clients we're significantly higher than that, which gives us kind of the runway to think about applying that strategy kind of over time to other clients. But we clearly have kind of good headroom for growth, particularly in an industry that's becoming increasingly fragmented, even more so than when we looked at the -- when we talked about this in our CMD last year. We compete with companies of all sizes. Some of those are kind of very well-known names that have been around for decades, and some of those are kind of smaller organizations as well. So it's no doubt it's a very competitive sector that we operate in. However, it's also a sector that's quite clearly delineated between high and mid-end and the lower end of the marketplace. And certainly, that lower end is not where we see our kind of growth potential to come from. Our focus is on the kind of mid-market and the kind of upper end for global brands that many people on this call would recognize. So we still do see the kind of low -- the low penetration represents a large opportunity for us, not least of all within our existing clients, and I'll touch on that in a second. For almost all at the mid and high level, the question of data quality is increasingly under scrutiny and a real positive for YouGov. Now that's certainly been the case over the last 18 months where we've seen the awakening across the industry of questions around the validity of data, the validity of panelists, and earlier this year, we took a leading position in the industry about publishing our white paper on how the industry should introduce the kind of tools and the systems and approaches to make sure that there is a validity in that data. It's critical for the industry that it's trusted. And there's no doubt that YouGov is preeminent in that level of trust that we have. It's also true that, that quality of data has an enormous impact in the ability to compete in a future world that becomes more machine learning and AI-driven. Those models rely on 2 things; high levels of computing power and high-quality refreshing data that people can trust and can be utilized in different ways. And I'll touch a little bit about how we're thinking about kind of application of AI across this year as well. But there's no doubt kind of panel quality remains preeminent for us. And in fact, it's kind of -- we are very -- I'm sure everybody is well aware, but we most acutely are well aware that we're speaking to you [indiscernible] -- now 1 week away from the U.S. election. And it's encouraging, it's encouraging for us and it's encouraging for the teams kind of around the world and YouGov to see the reflections and the commentary. This kind of feedback isn't or this kind of commentary isn't given for free. These are very high bars that we have to cross and to demonstrate our continuing ability to both have very high-quality data and great levels of innovation that unlocks the capacity for insight that sits within that data. And I'd just also say thank you to the public team for all of their work across this year. Whilst politics and that part remains 5% of our revenues, it's a significant part of our reputation and it's a significant reason why we're able to attract panelists into the company and why panelists stay within the company as well. I touched a little bit on the video at the beginning. And of course, the points help as well. So, looking into kind of 3 parts of our company, I'm not going to spend too much time talking about our panel or quality of data anymore, but perhaps we can kind of touch some more of that in questions. But really focusing on the 3 legs of the company, our Data Products, where our focus across this year is introducing new products into the market, enhancing the features of our existing products and working with different price point and entry points in order to expand our offering and answer some of the market responses competitively. On CPS, we look to enhance the data provisions that CPS have. We're expanding that panel with new markets and look at deeper integrations into YouGov. As Alex mentioned, part of that will be the rolling off of the transfer service agreements that we currently have in place. And then our Research division, I'm going to spend a bit of time on this one because I think having spent time with shareholders and others and prospective shareholders, it's probably a part of our business that is less well understood than the other aspects as well. But in there, are opportunities for expanding our recurring revenue for data integrations and new client wins. Next slide please. So, on Data Products. In FY '24, whilst we didn't see the growth rates that we were anticipating in the year and that was a frustrating and disappointing thing to say. What I would say is, we did have very strong recurring revenue rates. In fact, our data product subscription levels remain very consistent with what we've seen historically, and in fact, the revenue for those Data Products actually increased. It speaks to the point that Alex made at the beginning of -- earlier in the call, I should say, around the level of sophistication and data sophistication in the client is often an indicator of our ability to grow well with that client. So, those that are using our products are actually using them more than ever. Of course, our goal is to make sure that we're able to increase the number of clients that see that as an opportunity and see the value that we're creating there and to grow the number of subscriptions that we have beyond the 2,000. So, how we think about that in FY '25? I'm delighted that we have a new Chief Product Officer in place, Marc Ryan, with incredible track record of scaling products after kind of 20 years in the research industry and drive our new product strategy. I must say that this isn't going to be overnight. These are steps that we'll be taking quarter after quarter after quarter to get into a continual release of innovation across our core products that begins with the expansion or the move, I should say, from CategoryView, which is a more mid-market focused data product that focuses just on one area of industry versus the kind of totality that our full syndicated data provides. That's about to go into the hands of the [Indiscernible] in the hands now, as you say, the commercial teams after going through good trialing. And whilst we don't see that as a huge accelerator into this year, we do believe this kind of long term enables us to target competitively and profitably a part of the market and grow our overall subscriptions. We're going to be building in across the year. We expect that from -- well, our end of -- our Q3, I should say, so Q1 in most people's lives, so kind of January next year, building in AI-enabled features with the acquisition of Yabble particularly in the areas of summarization. And Yabble and Charlton, 2 of the most impressive technologists I've come across. So to be able to build some of that summarization techniques and the personification techniques to enable people to explore their data in more interesting ways than ever before is very powerful. We talked a lot previously, or I have, on looking to improve the UX, of UI and kind of experience across our products, and that's work that continues. We've also made a decision to bring our behavioral data set rather than having that as a stand-alone part, which hasn't delivered some of the scaling we believe is possible within that data set. But to bring that data set of behavioral data, viewing data across streaming platforms directly into our core Data Products, enabling us to offer more value than we've been -- than ever before, but also areas which our competition simply cannot match. We look forward to kind of scaling that and kind of taking that out into the market over the next few months. And in addition to that, something you'll hear us talk more about as the year progresses is our on-platform activation. And what does that mean? Well, there is an -- often one of the biggest challenges that we hear from clients and biggest challenges in marketing is how do I take my segmented audience, you know I spent a lot of time investing into understanding this audience. How do I then market and advertise directly to them? It's a gap that's been described to me by a client as a kind of inch wide and a mile deep. I've got this theoretical audience over here. I want to actually target that exact audience through my advertising. And the data integrations and the data activation that we're now delivering directly through the YouGov platform enables those audiences to be transferred into the marketing and the kind of the ad tech ecosystem and directly target those audiences that have been identified through tools like Profiles. Again, nobody else is able to deliver that integrated move from theory and planning into activation in the real world. And so, we're excited to see how that is going to land. Early tests on that have proven quite a high number of orders. And again, it enables us to sell digitally because this is simply a kind of new integration on the YouGov customer platform. So on Data Products, new products, enhanced features and looking at price optimization and price mix across our offering as well. On CPS, and kind of huge thank you to our new colleagues at CPS. It's been great working together over this past year and in particular since the kind of formalization of the acquisition earlier in this year. For those that maybe haven't seen some of the data on CPS, I don't think it's been necessarily widely available under its previous private ownership. But it's an incredibly robust business with terrific levels of recurring revenue that in fact, over a 7 year period to have a greater than 70% retention on clients. There is a very powerful data set that clients truly value, and in fact, obviously, we have a kind of 20% client retention post-acquisition. Actually, no client has chosen to move to a competitor since the formalization of the acquisition, and it's very good to see teams out there under a single brand working together to create more value. And in this year, the areas that we're focused on in CPS, and I must say, beyond because some of these things will take a bit longer, we -- as Alex mentioned, we plan on rolling off more and more of the transfer service agreements, integrating kind of fully into YouGov systems. We're actually 10% there. We won't conclude that to 100% this year, but have an expectation to significantly move that on across the year. We are already integrating our commercial teams, and very soon, kind of imminently, we'll be announcing those leaders. It's kind of great for them to have a single point leadership, so people that are able to speak and guide the commercial strategy across the suite of both CPS and YouGov products. Across this year, you'll see us expand into new markets. Obviously, for confidentiality, I wouldn't name those now, but expect us to update you across the year. That will be demand driven by the clients and we see some good opportunities to increase markets where there's only one or indeed some markets where there are no incumbents at all by utilizing the YouGov panel. And then finally, there's no room for complacency in any part of our business. We're making sure that the same is true for CPS as well by moving to and increasing the passive data collections. We currently have kind of trialing and growth in the Nordics, and we look to expand that out across the year. And moving finally to our Research. So our strategy for our Research division is expand the recurring revenue that we have with our existing clients, have deeper data integrations. I think it just say data integrations earlier, but the data integrations within those largest organizations and of course, look to attract new clients into our custom work. And the reason I want to spend a moment unpacking this is I think there's a wide perception in the industry that -- or certainly, I hear this consistently from shareholders or prospective shareholders that Research is ad hoc projects. And whilst that's true for someone, it's certainly not true for all. And our Research division is made up of 2 components; Data Services, which is the omnibus surveys typically that we kind of produce every day in many markets. And as Alex mentioned, that's an area of the market where we don't see continued growth to occur, although it does still offer kind of good revenue and kind of good margin. But on our Custom Research division, which represents 3/4 of that, we are seeing strong growth and kind of high demand across our largest organizations. And I'm just sharing some -- kind of overall on Research revenue, a little over 40% of that is recurring revenue. So that combination of our Data Products recurring revenue, CPS' recurring revenue and actually the tracking that we have on a recurring basis in our custom creates great foundations and future-proofs us as a company. So, across this year, we want to -- we believe -- one, we also kind of had client feedback, we believe there is real strong scope for us to increase our custom tracking revenue within our existing clients, but also -- even with the largest ones, but also expand those relationships into the next tiering of our large-scale clients. And you can see, with the information we're sharing there that in our top 20 clients, close to 80% of those have a custom tracker, a piece of recurring revenue. In fact, many of them have multiple trackers. Whereas in our clients from 21 to 50, that is more like 60% don't. And of course, kind of we think we can create more value for them. And of course, for us as a company, that means that the average revenue per client, we should look to increase that across the year because currently, that's a 6:1 ratio. So clearly, the clients that are already working with us represent a great opportunity for growth across the year. So we'll increase that custom tracker revenue. We will deepen the data integrations. We have a combination of workflow integrations and APIs. It's also the areas that will guide our panel expansion. We are -- where we see demand coming directly from clients, we would look to invest, and that's typically the U.S. and underrepresented groups being the very top of that list. And of course, we don't think this is just for the existing clients. There are also a focus on account-based marketing in our work to enable us to be more focused with our marketing efforts and get more clients in and experiencing YouGov's data. So, that's a summary of how we're thinking about the 3 elements of our -- the 3 revenue streams within the company. And across the year, the kind of 3 themes that you'll hear us continue to return to. Slide says summary, next slide please. Now one, Alex has already mentioned; increasing efficiency in the organization, making sure we're streamlined and able to move as fast with the right cost allocation as possible; focused growth, retain our existing clients and win new Data Products and expand our share of wallet through others. And then finally, continued innovation using kind of new great talents that have come into the organization and the people that are already here. And it's innovation that's been the growth driver of YouGov historically, and it's innovation that will be the growth driver over this coming year as well. And with that, just before we hand over to questions, I do want to take this opportunity to say a huge thanks to all of my colleagues at YouGov, including our new colleagues that joined from CPS for all of the efforts you've kind of put into the year. And it's very good to put us in a kind of good foundation for us to grow into FY '25. Thank you. And now ready for questions.
A - Hannah Jethwani: Can you please -- can everyone please submit questions through the Q&A function? Your first question comes from Andrew Ripper. How does YouGov Data Products pricing and positioning compared to peers? And how do you plan to optimize this pricing mix going forward?
Steve Hatch: Yes. Typically, there could be quite a range as some of our competitors are more or less within the same range. However, some of them -- in fact the one -- the areas that we're less interested in, some of that can be 1/4 of that. So, there's quite a range on that -- on the range of that pricing. We also see quite a lot of geographical difference. It's one of the reasons why the U.S. is a kind of core area of focus for us. There's 2 things doing here, one which I mentioned already, which is, for us to introduce CategoryView to more categories, principally in the U.S. and the U.K. That is a very price competitive product. It also is good business for us because it uses syndicated data that we've already collected. And across our Data Products, I might be slightly off here, but 94% of the clients and brands that we collect data on, we don't monetize. So there isn't a financial relationship with them. So, it enables us to be even more focused on the ones that we do and grow that. And then secondarily, we're also looking at the introduction and testing some tiered pricing opportunities across our large-scale products as well, which I'll update you with how that progresses when we come to that half year.
Hannah Jethwani: Thanks. Next question, what is the timeline for product enhancements such as AI, UI/UX, behavioral data?
Steve Hatch: Yes, that's right. It's a great question. We've got a lot to do across this year, and it won't happen immediately. It won't all happen immediately. Great to see that Marc started on the 4th of September a little earlier than we feared. So that's great news. It's actually Marc that introduced the activation button directly into profiles after his second week in the company. So I clearly got somebody who's able to move pretty quickly. That said, I would expect to -- we actually have ongoing improvements on the UI/UX from Q2 onwards. However, our AI enablement enhancement, we should really expect to see that from our Q3 onwards. So, into the new year.
Hannah Jethwani: Your next question comes from Fiona at Edison. Where were you talking about moving from theory and planning into activation? Is there not a danger that you step on clients toes?
Steve Hatch: Thanks, Fiona. No, not all. In fact, there's often been a really significant request from clients like how can I -- by the way, this is the clients that are buying those audiences or taking that into their digital trading, whether that's directly within themselves or through most commonly a media agency, through the number of data activation platforms that are there. So, it doesn't tread on clients' toes. In fact, it's the question that they've been trying to solve for a long time, which is how do I take something on paper and make it work in the real world through my marketing communications. So, hopefully, that's clear.
Hannah Jethwani: Your next question comes from Steve at Deutsche Numis. Couple of different questions. First one, please give more detail on sales team's efforts. How close are we to getting the right structure?
Steve Hatch: Yes. Thanks, Steve. Well, very close is the short answer to that. We -- as I think I might have mentioned, we kind of imminently will be announcing our head of the DACH region. I'd also -- I hope that we'd be doing similarly for Germany itself, and we have a kind of open role for Switzerland. Outside of that, certainly from a commercial role, we have the people in place. Not least of all. give my congratulations to Will Ullstein, who started as the U.K. CEO just at the beginning of this year. Will is actually a kind of 7-year veteran of YouGov, not necessarily kind of in the U.K., but actually was one of the people that saw the opportunity in data activation. So great to be able to have him enrolled as well.
Hannah Jethwani: Thanks. Next question from Steve. Can you update us on the competitive position within Data Products?
Steve Hatch: Yes, let me try and expand more on some of the points that I made there as well. We, typically, the competitors that we see on our Data Products are Morning Consult, GWI and MRI-Simmons. They operate in different parts of our Data Product landscape, some of them directly at brand index, some of them at profiles. And what they don't have is the ability, as we talked about before, to kind of take those data integrations, further also interrogate the kind of data a bit more. So, what we do see though is -- what I don't see is any relenting in the competitive nature of the market over the next 12 months or even indeed the next kind of 18 months. That's why we have to be so focused on innovation and delivery. And that's why we have to make sure our kind of pricing and value remains competitive at the same time. We're really proud of our data quality, and we should be. And for those clients that value it, they value very highly. But in of itself, we know that that might not always be enough. So hence, why we're focused on bringing new features and new value into our core Data Products.
Hannah Jethwani: Question also from Steve for Alex. Can you please give us a like-for-like trend for Data Products in the second half? Did this finish below revenue expectations given the previous comments for a stronger July?
Alex McIntosh: Yes. Thanks, Steve. Yes, we did finish a little bit below expectations in FY '24, and that's in part due to some of the change in commercial leadership and just building that momentum. I want to make the point which is why the innovation pipeline and having this product road map is important. Data Products really is a flywheel of momentum that we have to build. And so the sales that we make in year, we only recognize [one-twelfth] for that. And so some of the work we've been doing over the last few months begins to build that momentum back up. So we do expect to see some good progression on sales. We don't see it making a material impact to our revenue growth for the year because of the nature of the revenue recognition. But what's critical is it's really the work that we do in this financial year sets us up for a good solid FY '26 and beyond. And so, yes, this, as Steve said, some of these things aren't build overnight, but the most critical thing is being able to put product developments into the market and really have a response to some of the competitive pressures we have, but also be able to solidify that position of being the high-quality data, the data that clients can trust. Expanding that will be a key focus within the commercial teams over the coming months.
Hannah Jethwani: Next question, also for Alex. Would it be possible to expand on the comment regarding the rate of delevering for the overall business and if you expect to refinance the existing term loan?
Alex McIntosh: Yes. For now, we have said that we will be paying down the debt. We don't have an update in terms of what's our long-term debt policy that we have as a group. What was critical for us is making sure, because of the structure of the deal that we had to put forward in order to get through the bidding rounds for the CPS was that, it was an auction where we had to have as little conditionality as possible. We did a small equity raise just to remind everybody, but the majority of the financing came from debt. We would like to have that -- we'd like to delever by 0.5 a turn each year. I did say 6 months on the call, I should correct myself. We still plan on doing that. We don't have any significant requirements for cash in terms of where we see internal CapEx going. I mentioned we will be ticking that up a little bit. But at this moment in time, we continue to focus on delevering. We'll update in future if we come to a position where actually we think it's worthwhile for the Group to have a long-term debt holding sort of position. But at this moment in time, we're not changing that approach.
Hannah Jethwani: Thanks, Alex. Next question from Dan Cowan at HSBC. To what extent do you anticipate reinvesting cost savings into new areas?
Alex McIntosh: Yes, I'll pick up on that a little bit, but it really expands on some of the things that Steve has already mentioned, so Steve feel free to cut in. We do see being able to spend bit more time and money on machine learning and AI. That's at one level, people come to us and ask is AI a competitive threat? And we actually don't see clients using synthetic data, but there is a lot of interest in proprietary data that's high quality that can be used for the purposes of modeling AI. And so we think there's a key position we can take in the market here of leading the charge on that in terms of how market research starts to use AI. So, as Steve mentioned, the summarization point is particularly important. That expands the usability of that data within our clients' organizations. It broadens the number of users that potentially could be using our products, and it fundamentally means it's easier for our clients to surface a lot of the data that we have. And quite often, that's one of the difficulties we have in explaining to clients how much data we have, sort of existing market research tools require you to cross tab and search. This allows you to use a simple prompt-based approach to surface a lot of the deep data that we have on panelists. And so we're really excited about that particular proposition. The other part is just looking at panels, now do we optimize our panel spend? There is -- we feel there's a clear shift in the industry away from panels being a commodity to client -- the research agencies that maintain their own panels have a clear point of differentiation. We see that differentiation coming through with our custom clients. But we also see it within clients that continue to renew the Data Products. There's more flexibility that we're able to give them because we own our own panel and a lot of our competitors don't have that capability. And so, we don't see a fundamental shift in where we're spending, but we see ourselves optimizing that -- those cost savings and putting it into areas where we can seek to accelerate our growth.
Hannah Jethwani: Follow-up question from Dan. How much will Yabble impact OpEx?
Alex McIntosh: The Yabble team is relatively small. We didn't announce any numbers in terms of the size of the team. The team is about 13 people. We want to clearly invest. And so anticipate a couple of million that we're putting into the team there. It's not a significant amount of money. What's really important to point out, they really accelerate our timetable for development in this space. They've spent 5 years building out tools, which are market research orientated and really understood by the market research industry. That gives us a head start against people that are coming in from the AI world afresh. And so we're able to use a lot of the work that they had already sort of delivered to their end clients, accelerate some of the things that we were already planning to do.
Hannah Jethwani: A follow-up question from Fiona. What are the current market conditions around pricing? I imagine that's a big Data Products [Technical Difficulty].
Steve Hatch: Yes. Sorry, force of habit to turn my audio on to answer a question. Thanks, Fiona. Yes, we see -- we actually see quite a wide spectrum here. At the one side, we see lower price sensitivity and a greater focus on data quality towards the upper end of the market and somewhat a little bit below that, we do see some small amounts of pressure. I think clients are particularly kind of internally wanting to demonstrate kind of more value than ever before. Certainly, the role of procurement is far greater in -- that we've seen kind of year-on-year. That's in part what we're seeing kind of good levels of renewal. Those renewal rates are actually taking longer than they used to be because of the kind of internal processes that clients are going through on that. So there's no doubt there's scrutiny on value for money. But even in those cases, I'll just cite one most recent one where we've taken a small reduction on our kind of headline like-for-like pricing, but have expanded our remit at the same time. So there's a bit more, I would say, kind of constructive negotiation happening within the marketplace. But we're pretty sure able to compete quite well, particularly with our existing clients there. Where it is and where it can be pretty intense is when we're looking to bring in new logos and new brands. At that level of the marketplace, that's why we're kind of practicing and trialing with tiering and bringing in kind of CategoryView. I would say there are some areas in the market where we just don't want to put our attention there. We've got so much opportunity to grow even through our existing client base that that's where we'd sooner be putting our attention as well as building kind of new ones for the same time. So on the one hand, a very value-focused clients that really are principally driven by the quality of the data. And they know that YouGov is second to none. Slightly below that expansion -- negotiations are about expansion of remit, but a little clip on the kind of like-for-like price that's there, which we're happy about that, but we kind of think it's a constructive end. And then the pieces that we're putting in place is to react to and strengthen our position in what is a more competitive environment by, as I mentioned, highlighting the features that nobody else can copy. So whether that's inclusion of behavioral data, whether that's the activation from the planning audiences into the kind of real-world planning and buying of media. We know those things are -- seem to be landing pretty well so far. But make no mistake, it's a very competitive market we operate in.
Hannah Jethwani: Thanks, Steve. A follow-up question from Andrew Ripper at Panmure Liberum. On regarding CPS, I'll break it up into 2. First question, regarding CPS, can you elaborate on the strong end to the year and what investments do you plan to make, and what does this mean for FY '25 profit?
Alex McIntosh: Yes. I'll start with the first, which is the strong end to the year. We were flagging at the end of July, we were -- we had some concerns around sort of alignment around our revenue recognition where historically the GfK team had recognized revenue on expected delivery rather than actual delivery. I think important to note, it's a bit of a technical point. The GfK business and CPS as we acquired it partway through the year, operates on the 1st of January to 31st December year-end. And so, 31st of July isn't a time when GfK normally does a hard close. We had a few clients and CPS was working with them to essentially bring forward their delivery to July when they were anticipating on recognizing that revenue that had to do with streamlining some reporting, some of that was client driven. It's existing contracts which are multiyear and so, this is really just a shift. And so it doesn't create a headwind for FY '25. When we get to the end of the year, we'll also see revenue that they would have expected to deliver in August. That's been shifted into FY '25 as well. So it's a permanent sort of bring forward of delivery for a few of their major clients. Just picking up on investments, we've done a few things around technology, particularly improving the platform for CPS data. In part, that was coming off some legacy technology from the GfK business. We made an announcement on that fairly recently. The other areas where we will be investing will be in markets and data collection. We see a clear step through potential in combining purchasing data with other types of behavioral data, and that aligns very nicely with being able to utilize the existing YouGov panel and the data that we've collected. There's a few areas, as Steve mentioned, that we will be expanding the markets at this moment in time. It's not appropriate to say which ones they are from a competition perspective. But really, it's about expanding the footprint. What that means for FY '25 is we expect a little bit of a drag on margin, and I want to make this point, expanding into new markets and collecting more data, we can utilize existing league of assets, but we do have to collect data so that we have a historical set of data to start selling to clients. And so we'll do that client-led, as Steve mentioned. And in part, it follows the same method we've been using for years in terms of how we expand our Data Products into new markets. We'll update at the half year. We're still just working through the TSAs, but expect potentially 2 or 3 points of margin as we ramp up some of those investments. But it does -- it is a bit dependent on the timing of our TSAs. Yes, I just want to make that point on what do we control? The TSAs are really for back-office functions. So we're in complete control of the panel, complete control of the clients, and we're operating on a stand-alone basis from a Research Operations perspective in all the markets. It's systems, finance systems, HR systems that we're still decoupling ourselves or decoupling from NIQ on. And that reflects this was a carve-out. It was an operational division that didn't have its own support functions. And so all the work under the TSAs is about replacing that with in-house support.
Hannah Jethwani: Thanks, Alex. A question from Paul Atkinson. Is the Board still committed to the U.K. market listing? And what might be the attractions of the U.S. listing if any?
Steve Hatch: [Technical Difficulty] Apologies Hannah and apologies, Paul. Yes, I mean, as it stands, we're happy with where we're sat kind of in the U.K. It's a position that served us really well and the growth of the company. And of course when you look at some -- the kind of relative value of the business and whether that's kind of directly within the U.K. or kind of outside, there is a general kind of broad understanding that kind of U.S. listed companies, there's a greater acceptance and understanding of the longer-term value that's there. However, that's not part of our Board discussions at the moment. What we're really focused in on -- I mean we're really focused in on is execution over the next 12 months.
Hannah Jethwani: Thanks. There are no more questions in the queue. So, I think we can do closing remarks.
Steve Hatch: Well, thank you, Hannah, and thank you, everybody, for your questions, for your continued interest in the company. Now, as I said at the beginning, kind of year of transition, challenge and change. I do think we're starting on a kind of good footing for the company with a focus on innovation right away throughout this year. Our sector has never been more competitive. So, there's never -- so we have to be even better this year than we have been even by historical standards, as it stands, we've been set to deliver on the year against expectations. But to do that, we've got a lot of work to do. And with that, I'll repeat again my kind of thanks to YouGov and our CPS colleagues. And we look forward to updating everyone that's joined the call today at our half year later on. Thank you, everyone. Thanks, Hannah. Thanks, Alex.